Operator: Good morning, and welcome to CenterPoint Energy Second Quarter 2016 Earnings Conference Call with Senior Management. During the company’s prepared remarks, all participants will be in a listen-only mode. There will be a question-and-answer session after management’s remarks. [Operator Instructions] I will now turn the call over to David Mordy, Director of Investor Relations. Mr. Mordy, you may begin.
David Mordy: Thank you, Ashley. Good morning, everyone. Welcome to our second quarter 2016 earnings conference call. Thank you for joining us today. Scott Prochazka, President and CEO; Tracy Bridge, Executive Vice President and President of our Electric Division; Joe McGoldrick, Executive Vice President and President of our Gas Division; and Bill Rogers, Executive Vice President and CFO will discuss our second quarter 2016 results and provide highlights on other key areas. We also have with us other members of management, who may assist in answering questions following the prepared remarks. In conjunction with the call today, we will be using slides, which can be found under the investors section on our website centerpointenergy.com. For a reconciliation of the non-GAAP measures used in providing earnings guidance in today’s call, please refer to our earnings press release and our slides, which, along with our Form 10-Q, have been posted on our website. Please note that we may announce material information using SEC filings, press releases, public conference calls, webcasts and posts to the investors section of our website. In the future, we will continue to use these channels to communicate important information and encourage you to review the information on our website. Today, management is going to discuss certain topics that will contain projections and forward-looking information that are based on management’s beliefs, assumptions and information currently available to management. These forward-looking statements are subject to risks and uncertainties. Actual results could differ materially based upon factors, including weather variations, regulatory actions, economic conditions and growth, commodity prices, changes in our service territories and other risk factors noted in our SEC filings. We will also discuss our guidance for 2016. The guidance range considers utility operations performance to date and significant variables that may impact earnings such as weather, regulatory and judicial proceedings, throughput, commodity prices, effective tax rate and financing activities. In providing this guidance, the company uses non-GAAP measure of adjusted diluted earnings per share that does not include other potential impacts such as changes in accounting standards or unusual items, earnings or losses from the change in the value of zero premium exchangeable subordinated notes or ZENS securities and the related stocks or the timing effects of mark-to-market accounting in the company’s Energy Service business. The guidance range also considers such factors as Enable’s most recent public forecast and effective tax rates. The company does not include other potential impacts such as any changes in accounting standards or Enable Midstream’s unusual items. Before Scott begins, I would like to mention that that this call is being recorded. Information on how to access the replay can be found on our website. And with that, I will turn the call over to Scott.
Scott Prochazka: Thank you, David, and good morning, ladies and gentlemen. Thank you for joining us today, and thank you for your interest in CenterPoint Energy. We will begin on Slide 4. This morning, we reported a second quarter 2016 loss of $2 million or $0.01 loss per diluted share compared with net income of $77 million or $0.18 per diluted share in the same quarter of last year. Second quarter 2016 earnings were impacted by several charges, which Bill will discuss in greater detail later in the call. On a guidance basis, second quarter 2016 adjusted earnings were $73 million or $0.17 per diluted share compared with adjusted earnings of $84 million or $0.19 per diluted share in the same quarter of last year. The fundamentals of our utility business segments remain strong. On a guidance basis, utility operations contributed $0.14 per diluted share in the second quarter of 2016 compared to $0.13 per diluted share in the same quarter of last year. Improving $0.01, despite milder than normal weather at our electric utility. We continue to see strong customer growth in both our electric and gas utilities. Combined, our utilities added over 90,000 metered customers during the last 12 months. Capital expenditures remain strong as we invest to meet growth, safety and reliability needs within our service territories. Rate relief driven by capital investment continues to be an important contributor to earnings growth. To date, we have secured $45 million in annualized distribution investment recovery at our electric utility, and $18 million in annualized revenue associated with recovery of capital investments at our Texas gas utilities. Further, we expect approvals in two gas rate cases in the third and fourth quarters. Joe and Tracy will provide additional regulatory updates for their business segments later in the call. Turning to midstream investments, we have a number of highlights on Slide 5. Midstream investments contributed $0.03 per diluted share in the second quarter of 2016 compared to $0.06 per diluted share in the same quarter of last year. The contribution was reduced as result of losses attributable to changes in the fair value of commodity derivatives and an increase in deferred taxes. As I mentioned earlier, Bill will provide additional details on these items. Enable’s call highlighted the robustness of drilling activity in the SCOOP and STACK plays, which continue to be recognized as two of the top plays in the country. Enable continues to focus on strengthening their balance sheet, lowering cost and improving capital efficiency. We believe they are well positioned to take advantage of market opportunities over the next few years. Turning to slide 6; given the year-to-date performance and outlook for both utility operations and midstream investments, we are reaffirming full year earnings guidance of $1.12 to a $1.20 per diluted share. 2016 earnings growth drivers include utility customer growth, capital discipline, rate relief and operating and financing cost management. CenterPoint’s core strategy remains to operate, maintain and invest in our current utility service territories, deploying capital to address needs for system growth, maintenance, reliability, safety and customer interactions. In February, we announced that we would conduct two strategic reviews focused on possible incremental value creation for our long-term shareholders. One review contemplated placing utility assets in a REIT structure, with the assumption of executing a public offering of their REIT and redeploying those proceeds on behalf of our shareholders. We have completed our REIT evaluation based upon assumption for qualified assets, revenue requirements determined through general regulatory proceedings and capital markets considerations. Key variables include the collection of federal income taxes within the revenue requirement and the timing of adjustments to lease payments related to capital investments by the REIT on behalf of the utility operating company. We have concluded that current uncertainties along with the complexity of the structure do not warrant pursuit of a REIT. As always, we remain open to explore avenues for long-term value creation for our current shareholders. The strategic review regarding our Enable ownership is ongoing, and we remain committed to providing up update on this subject before the end of 2016. As I mentioned before, our utility fundamentals continue to be strong and on track. We remain committed to our vision to lead the nation in delivering energy, service and value. We are focused on consistent performance including safe, reliable and efficient operations for our customers and long-term value creation for our shareholders. Tracy will now update you on Houston Electric.
Tracy Bridge: Thank you, Scott. I’m pleased with Houston Electric's performance this quarter. As you will see on Slide 8, core operating income in the second quarter of 2016 was $135 million compared with $131 million for the same period last year. The business benefitted from rate relief, customer growth, higher equity return primarily related to true-up proceeds and higher right-of-way revenues. These benefits were partially offset by higher depreciation in taxes, lower usage primarily due to milder weather, and modestly higher O&M. Similar to the first quarter of this year, higher depreciation was anticipated due to both the amount and type of capital invested. We continue to focus on keeping annual O&M growth under 2%, excluding certain expenses that have revenue offset. Houston Electric added approximately 55,000 metered customers since the second quarter of last year. We continue to anticipate approximately 2% metered customer growth this year. As we mentioned before, 2% customer growth equates to approximately $25 million to $30 million of incremental revenue annually. Slide 9 provides a regulatory update for Houston Electric. In April, we filed an application with the Texas Public Utility commission for a DCRF interim rate adjustment. Our application requested the annualized revenue requirement be set at $49.4 million. In July 2016, a settlement was approved by the commission, providing for an annualized revenue requirement of $45 million effective September 1, 2016. As a reminder, the amount is reset with each filing, so it is not additive to the approved DCRF revenue requirement from the prior filing. Recently, Houston Electric was awarded the International Smart Grid Action Network award of excellence and the Global Smart Grid Federation Best Smart Grid project. Through our smart grid deployment, key technology partnerships and the dedication of our employees, we have reduced outages by more than 134 million minutes, enabled restoration of more than1.5 million outage cases without a customer phone call, and saved millions of dollars in eliminated fees for more than 2.3 million metered customers in our service area. I am pleased to report Houston Electric's performance is on track for the year. Although, we experienced milder than normal weather in the second quarter, the third quarter to date has been warmer than normal. Further, the third quarter has historically been the most impactful quarter for Houston Electric. We will continue focus on the safety, reliability and efficiency of our system to meet the growing needs of our service territory. Joe will now update you on the results for gas operations.
Joe McGoldrick: Thank you, Tracy. Our natural gas operations, which includes both our gas distribution business and our non-regulated energy services business had a solid quarter. As you will see on Slide 11, operating income for our natural gas utilities was $20 million compared to $19 million for the same period in 2015. Operating income was higher primarily due to rate relief and continued customer growth. These increases were offset by higher depreciation and taxes as well as increased contractor services expense related to integrity services and increased credit and collection activities. Customer growth remains strong in our natural gas utilities, having added nearly 36,000 customers since the second quarter of 2015, almost identical to the growth in customers this time last year. This represents customer growth slightly in excess of 1%. Slides 12 and 13 provide detail on 2016 regulatory developments, including our rates cases in Minnesota and Arkansas The Minnesota PUC issued an order authorizing a $27.5 million rate increase based on an ROE of 9.49%. We have had interim rates in effect since last fall and will implement final rates later this year. In the Arkansas case, a unanimous settlement was reached for an annual revenue increase of $14.2 million. The settlement includes the use of a formula rate plan mechanism starting in 2017 to recover future capital investment and expenses. The recommended ROE in the Arkansas settlement is 9.5%. The settlement is pending commission approval, and we expect the final order and new rates to be implemented in the third quarter. As Scott mentioned, we have also finalized 4 Texas GRIP cases, which collectively increased revenues $18 million on an annualized basis. Turning to Slide 14. Operating income for our Energy Services business was $7 million for the second quarter of 2016 compared with $7 million for the same period last year, excluding a mark-to-market loss of $7 million and a gain of $2 million, respectively. Our integration efforts from our recent acquisition are anticipated to be completed within 2016. With more than 12,000 new metered customers, Energy Services now has more than 30,000 customers. Inclusive of integration and acquisition costs, this year, we anticipate the Energy Services business will roughly match last year's financial performance of $38 million in operating income, again, excluding mark-to-market adjustments. For 2017, the first full year of combined operations, we now expect Energy Services to provide annual operating income, excluding mark-to-market gains or losses, in the range of $45 million to $55 million. Overall, our natural gas operations performed well this quarter. Excluding mark-to-market, year-to-date operating income is up $13 million or 7% higher than 2015 despite lower weather-related throughput at utilities and acquisition and integration costs at Energy Services. We will continue to operate effectively and efficiently as we focus on growth, safety and the reliability of our system. I will now turn the call over to Bill, who will cover financial performance and forecast.
Bill Rogers: Thank you, Joe, and good morning to everyone. I will begin on Slide 16. We reported the second quarter 2016 loss of $0.01 per diluted share. Earnings included a charge of $110 million or $0.17 per diluted share associated with our ZENS securities. This charge is primarily due to the merger of Time Warner Cable and Charter Communications through a cash and site sale in the related revaluation of associated assets and liabilities on our books. Further details on the accounting at the merger date on May 18 are provided on Page 17 of the slide deck, as well as Note 11 in our second quarter Form 10-Q. In addition, the quarter also included a $0.01 mark-to-market charge in our Energy Services segment. Therefore, our earnings per share on a guidance basis was $0.17 versus earnings of $0.19 per share for the second quarter of 2015. Earnings per share increased $0.01 for our Utility Operations segment and decreased $0.03 for our Midstream Investments. Midstream was impacted by losses attributable to changes in fair value of commodity derivatives. As discussed on Enable's call and disclosed in their second quarter Form 10-Q, Enable uses derivatives to manage the partnership's commodity price risk. The accounting for these derivatives requires that the charges associated with the fair value of the instruments be recognized in current earnings. In addition, at the CenterPoint level, we recognize an increase in deferred tax expense related to recent Louisiana tax law changes and our Enable income from Louisiana. The sum of these 2 factors reduce the midstream per share contribution to earnings by approximately $0.03. Additionally, this is the first quarter that we recognize income from our investment in the Enable preferred, as disclosed in Footnote 8 and within Other Income. Assuming Enable declares this dividend on a going-forward basis, we expect to earn $0.03 per share in 2016 and $0.05 per share per year in future years. As a reminder, second quarter has historically provided the least contribution to our annual earnings. For the first 2 quarters of this year, we have delivered $0.49 in guidance earnings per share, consisting of $0.37 in utility earnings and $0.12 in the midstream earnings. Given our performance year-to-date and ongoing strong utility fundamentals, as Scott mentioned earlier, we are reiterating EPS guidance of $1.12 to $1.20. As shown on Slide 18, we are also reiterating our target of 4% to 6% EPS growth in each of 27 and 28 '17 and 2018. On Slide 19, we provide an overview of our anticipated financing plans, interest expense and effective tax rate. Year-to-date, internally generated cash is strong, allowing us to fully fund capital expenditures and to pay dividends. In the second quarter, our interest expense was lower on a period-to-period basis due to refinancing maturing debt at lower interest rates. During the quarter, we refinanced $300 million of short-term debt at Houston Electric with a 5-year maturity at a coupon of 1.85%. We expect to refinance another $300 million of short-term debt at Houston Electric in the second half of 2016. Therefore, for the full year 2016, we expect interest expense to be lower compared to 2015 with an EPS contribution of approximately $0.02. Interest expense saving opportunities should also present themselves in 2017 and 2018. We have $1.15 billion in maturities in those years, and the weighted average coupon for this maturing debt is roughly 6.1%. With respect to cash expense, as a result of deferred tax recognition for the Midstream segment income, we expect our effective tax rate to be 37% this year. This is higher than our previously stated anticipated tax rate of 36%. In addition to our earnings release and our 10-Q filings for all of our registrants filed this morning, we would like to remind you of other press releases or filings of interest. First, our Board of Directors declared a $0.2575 dividend per share on July 28, payable on September 9. Second, on July 21, we filed with the SEC an amendment to our Form 13D with respect to our ownership interest in Enable Midstream. The required update to our February filing reflects that we send OGE a right of first offer, or ROFO, and that we will solicit offers from third parties to acquire our interest in Enable. As stated in our press release earlier this year and in our Form 13D/A, we continue to evaluate a number of strategic alternatives for our investment in the partnership, including a sale, a spin-off or maintain our ownership. As Scott stated, our intent is to provide an update on the review prior to the end of the year. And with that, I'll turn the call back over to David.
David Mordy: Thank you, Bill. We will now open the call to questions. In the interest of time, I will ask you to limit yourself to one question and a follow-up. Ashley?
Operator: At this time, we will begin taking questions. [Operator Instructions] Our first question comes from the line of Insoo Kim with RBC Capital Markets.
Insoo Kim: Just regarding the Enable strategy, I know you can't comment much on that, but with the ROFO and others that you provided to OGE, if they do make an offer for your stake in Enable in the coming weeks, so how does that impact, if any, your ability to still potentially pursue the spin-off? I just wanted to make sure what - depending on what they say on the stake and whether you have some offers outstanding with other third parties, if that bounds you towards the sell option versus Bill having a spin-off option?
Bill Rogers: Insoo, good morning. It's Bill. The spin-off and the consideration of the sale are 2 separate tracks. So if OGE were to make an offer to CenterPoint for CenterPoint stakes, then we are not obligated to accept that offer.
Insoo Kim: Okay. So the 2 options are still open regardless of what they come back with?
Bill Rogers: Correct.
Insoo Kim: Understood. Okay. I know you guys can't comment much more on that follow-up. I'll leave it there. But just moving to the Electric Utility, given customer growth above forecast for the past couple of quarters, how do you see the customer growth for the balance of the year and outlook for future years? I know you've mentioned 2% annual growth as a target, but it seems like it's been trending a little bit higher.
Scott Prochazka: Yes. Insoo, this is Scott. We've - we continue to see strong customer growth, as you've obviously noted and we posted in our results. We see all signs pointing to that continuing. We continue to track the leading indicators about housing development, and that continues to be strong. I will say that one area that may provide a little softening would be multifamily homes. That market is getting a little long here. But I think what that would do is that would probably tend to drive our growth rate from perhaps slightly above 2%, down closer to 2%, nothing that I would consider to be problematic. But that could be the downside piece of it. But other than that, we continue to see very strong local development.
Insoo Kim: Got it. Thank you very much.
Scott Prochazka: Yes.
Operator: [Operator Instructions] Thank you for your cooperation. Our next question is from Ali Agha with SunTrust.
Ali Agha: Good morning.
Scott Prochazka: Good morning, Ali.
Ali Agha: Scott, I - your first question. As you are continuing to look at strategically what to do with Enable, can you tell us what are some of the big milestones or what is it that you're looking at in terms of reaching your final conclusion for that? And related to that, if the sale option were to be exercised by you, have you been able to resolve the tax issue? Or would that still be the same as you've talked about in the past?
Scott Prochazka: Ali, I'll provide a little bit of comment on this. I'll let Bill comment on the tax piece of it. But our options are essentially the same as we've communicated in the past, and that is still look at a sale or a spin. The timing is such that, as we've indicated, we're just continuing to step through the process, providing the ROFO notice to OGE was one step in the process. And so we're just going to continue marching down that path with the expectations that we'll be able to provide an update to you all by - certainly, by the end of the year. Bill, would you like to comment on the tax question?
Bill Rogers: Certainly. Good morning, Ali. The tax consideration is still there. As we've discussed, we have negative basis in our investment in Enable Midstream. And therefore, a sale for cash would result in a significant taxable gain.
Ali Agha: Okay. And the sale option, I guess, that reminded me, you mentioned that sale for stock would still be an option within that sale option?
Bill Rogers: Yes. So their potential to defer an eventual recognition of gain through a sale for stock or some other currency, we would likely get there if we went on that structure through a reorganization under the tax code.
Ali Agha: And last question, Scott, there's a lot of consolidation going on, on the regulatory, both on the gas and electric side. I just wanted to get a sense of what your current view is as you're looking at the landscape around you? And other opportunities that you guys could potentially capitalize on?
Scott Prochazka: Ali, I certainly observed the same thing you are, and that is that there have been a number of consolidations. The strategy that we have is still very much centered around the investment we can make in our utilities and our current service territories. So our focus is - continues to be around the $1.3-plus billion we're spending on our own utilities and growing those utilities to meet the needs of our customers and grow our earnings along with that.
Ali Agha: Thank you.
Scott Prochazka: Yes.
Operator: And your next question comes from the line of Michael Lapides with Goldman Sachs.
Michael Lapides: Hi, guys. I think Dave's going to hate me because I have a couple of them for you. One is simple. In your multiyear, your EPS growth rate guidance for '17 and '18, do you assume Enable earnings contribution grows strengths or stays flat in that period? I'm just trying to think about the puts and take between utility, regulated utility earnings growth, versus kind of consolidated EPS growth.
Scott Prochazka: Michael, as you know, Enable has not put out any information beyond this current year. That said, we have looked at a number of possible growth rates that could come from Enable, and we've tested that against our capabilities at the utility. And combined, under a number of different scenarios, we feel comfortable that we can achieve that 4% to 6% rate.
Michael Lapides: Got it. So even if Enable were to decline in '17 and '18, you're still pretty comfortable getting the 4% to 6% consolidated growth rate?
Scott Prochazka: Yes. We - we've looked at - like I said, Mike, we've looked at a number of scenarios, and one of them would be one where the growth rates have not returned for that segment as they had been in the past.
Michael Lapides: Got it. One question on the Houston business, the CE business, I want to make sure I understand the DCRF. The $45 million, what is the incremental amount that's going in the rates in September of 2016?
Tracy Bridge: Michael, this is Tracy. We don't think about it as an incremental amount because every year, the revenue requirement is determined on a standalone basis. You might recall that a year ago, we implemented a rate increase of $16 million. And now, we're going to be implementing a rate increase of $45 million, but the 2 are not related because we calculate the revenue requirement independently every year. So if you're modeling it, just put in $45 million on an annualized basis starting September 1, 2016.
Michael Lapides: Yes. But I've got to know what's in your current numbers, right? Because otherwise, we could be overstating - we could be completely misstating. So I'm trying to make the bridge here.
Tracy Bridge: So the revenue for 2016 for DCRF would be $16.2 million, and the revenue for 2017 would be $53.8 million. Okay?
Michael Lapides: Got it. So that makes sense. And then the agreement to go from $45 million to $49 million, sort of that just implied, and I'm being simplistic here, a $4 million step up? I assume that's what that is, but I'm just making sure I'm understanding that correctly.
Tracy Bridge: That's what it implies, yes.
Scott Prochazka: So Michael, that would be a $4 million step up, assuming we did not make another DCRF filing next year.
Michael Lapides: So this doesn't preclude you from making another DCRF filing next year?
Scott Prochazka: Yes. That's correct. Right. We can make another filing next year, and then we would go through a whole new determination, and then it would be a new number that would be in place of the $45 million that's there today.
Michael Lapides: I appreciate that. Thank you, Scott. Much, much, much more clear there. Much appreciated.
Scott Prochazka: Yes.
Operator: And your next question comes from the line of Steve Fleishman with Wolfe Research.
Steve Fleishman: Guys.
Scott Prochazka: Good morning, Steve.
Steve Fleishman: Just a clarification on disclosure maybe. When OGE responds within their 30 days on the ROFO, either way, would that be something you're going to disclose, what their response is?
Bill Rogers: Steve, we'll look the required disclosure at that time, and that of course would depend on - upon their response.
Steve Fleishman: Okay. So it's possible they could not make an offer, we just wouldn't know.
Bill Rogers: That's correct.
Steve Fleishman: Okay. And then my understanding is, just to be clear, once they've responded, either way, you then have 120 days to basically transact, and after which the process starts again. Is that right?
Bill Rogers: Yes. Just to put some more clarity on that, Steve, they have 30 days to respond to the ROFO. If they did not respond, then we would move forward with a solicitation of offers, although we're not precluded from doing that at this time. If they did respond, then we would have 30 days to respond to their offer. And then subsequent to that, we would have the 120 days.
Steve Fleishman: Okay. That's great. And then on the mark-to-market hit on the - that you took on the Enable hedges, do you expect that, that will come back to you by the end of the year?
Bill Rogers: Steve, again, it's Bill. If nothing happened other than the forward curve staying the same at June 30 and they didn't enter into any more hedges, as it played out, much, but not all of that, would come back in 2016 with a balance in 2017. But should gas prices go higher, under mark-to-market accounting, that could impact what Enable records. Or should it go lower, go the other way. So it very much depends upon where gas prices are each quarterly statement period.
Steve Fleishman: Okay. Got it. Thank you.
Operator: And your next question comes from the line of Neel Mitra with Tudor, Pickering.
Neel Mitra: Can you guys hear me?
Scott Prochazka: Yes. Good morning, Neel.
Neel Mitra: I had another question around Enable and the possible tax leakage from a sale. If OGE were to make an offer that you would accept, would the same tax consequences arise as if it were a third party buyer? Would you still be on the hook for the negative tax basis? Or is there something different about OGE being a buyer?
Bill Rogers: Neel, it's Bill. There's no difference between OGE and any other buyer with respect to tax consequences.
Neel Mitra: Okay, great. And I noticed in the presentation that you noted that you wouldn't need equity for 2016 and 2017. But I wanted to just understand under what scenario you could possibly need equity 2018 and beyond. Would it be that you found additional growth projects that would kind of put you at that top or above the 6% growth rate at the utilities? Or is it something else? Or do you feel that you don't need any equity at all until the end of the decade or farther?
Bill Rogers: Neel, here's how do we get our thinking on equity. We take a look at our credit metrics, principally FFO to debt, and we're currently at approximately 20%. We want to maintain that because we like our credit ratings. Admittedly, we think we have some bad capacity within that. But if that were to erode, then we would consider equity. And that could erode from any number of factors, including, as you said, a higher rate of capital investment.
Neel Mitra: Okay. And with the Enable stake, if that were to decline, would that be something that would cause you to issue equity? Or do you view that as a separate entity that's self-funding?
Bill Rogers: Enable, in 2015, was under 20% of our cash flow in the way we think about our internally generated cash flow. So it's significant, but we'd have to take a look at what the credit metrics would be for us and what that might imply for equity at that time.
Neel Mitra: Okay. Got it. Thank you very much.
Operator: And your next question comes from the line of Jeremy Tonet with JP Morgan.
Jeremy Tonet: Just want to follow-up on the Enable situation, and if you were to sell your stake there and receive stock against that. And then you would subsequently distribute that stock, would that introduce tax leakage as well? Or would that be a way to mitigate that?
Bill Rogers: Good morning, Jeremy. I'm going to restate what's your positive, and then if I don't get that right, correct me. But you're assuming we would sell for stock and would not have it taxable a recognition at that time. And then we would spend whatever we received out to shareholders, is that correct?
Jeremy Tonet: Yes. Spin it out to shareholders. That's right.
Bill Rogers: Right. So we have not contemplated that strategy. I think that, that would have some combination of the tax effects that would either - you would either have in a sale for stock and a spin.
Jeremy Tonet: Okay. Thanks. And just with the whole strategic review process here, I'm just wondering if you can help us into your thought process. While the commodities have softened a little bit recently, it seems that the cycle has turned a bit. So I'm just wondering how you - how that enters into the calculus of your decisions here with the cycle getting better.
Scott Prochazka: Well, it certainly is nice to see the commodities turning around as they have. But we went into this evaluation geared at looking for alternatives to reduce the volatility associated with this earning stream. So we're continuing our process. We're going to continue through even as commodities are improving, because we want to see if there's a way to reduce that volatility and a way that could create value for our shareholders.
Jeremy Tonet: Great. Thanks. And then one just quick one. Correct me, if I'm wrong, but I think there was a slug of the energy resources debt, $325 million that matured in May. I was just wondering what happened to that, if that was refinanced or if we should take any meaning from that.
Bill Rogers: You're correct. $325 million did mature in May. We met that maturity with cash flow generated at CERC and short-term borrowings. As I said on our March, in this call, we were cash flow positive for the first 6 months of the year, including investments on CapEx on behalf of our customers and including dividends paid to our shareholders.
Jeremy Tonet: That’s helpful. Thank you very much.
Scott Prochazka: Yes.
Operator: And your next question comes from the line of Brian Russo with Ladenburg Thalmann.
Brian Russo: Just to clarify, does - is OGE required to respond with a yes or a no? Or can they just not respond and that's just an implied no?
Bill Rogers: Brian, good morning. It's Bill. The latter is correct. They can stay silent.
Brian Russo: Got it. Okay. And then also to clarify the decision not to pursue the REIT structure for the Texas assets, does that conclude all strategic alternative reviews? Or are there other options that you're looking at?
Scott Prochazka: Brian, that concludes our strategic review of the concept of a REIT for utility assets. But our other review underway is the consideration around our Enable ownership. And as we've said, that's still ongoing.
Brian Russo: Okay. But there's no ongoing review of your gas LDCs?
Scott Prochazka: That's correct.
Brian Russo: Okay. Thank you.
Operator: Your next question comes from the line of Nick Raza with Citi.
Nick Raza: Thanks, guys. Really a couple of just housekeeping items. In terms of the marketing business or Energy Services business that you acquired, when you acquired it, you said that combined with your existing operations and the acquisition, you'd generate anywhere from $48 million to $50 million in operating income. That number seems to be a little higher now. Could you just talk about that real quick?
Scott Prochazka: Joe, do you want to take that one?
Joe McGoldrick: Sure. Good morning, Nick. This is Joe. Yes, that's correct. We have increased that guidance for Energy Services business, given the integration of the business and some improved performance at our CES space business. So we are now comfortable that we will be in the $45 million to $55 million range in the first full year, which is 2017.
Nick Raza: Okay. And then I guess one of the aspects that you mentioned that would help you meet your EPS guidance in the outer years as O&M or operating cost reductions are - not as much growth. But if I look at your ordinary expenses, they seem to have been growing by about 5%. Can you just talk about what's driving that and how you guys view that?
Scott Prochazka: Yes. So the 5% that you see on the charts includes some items that have revenue offsets. So if you back that out and you consider some timing aspects of the spin on a quarter-to-quarter basis, we're still confident we can manage this expense in that - around 2% to 3% range.
Nick Raza: Okay. That’s all I had. Thank you, guys.
Scott Prochazka: Yes.
Operator: [Operator Instructions] Your next question comes from the line of Charles Fishman with Morningstar.
Charles Fishman: Hey, Bill, just based on your comments, the effective tax rate, though, that 37% was really just a onetime thing and like - just assuming business as usual with respect to Enable, going forward from a modeling standpoint, still 35%, 36% would be a long-term rate?
Bill Rogers: Yes. I would advise using 36% for our provision. It's just going to be 37% this year due to the change in Louisiana law.
Charles Fishman: Okay. And then the second question was for Tracy, right-of-way revenues. Remind me your - I mean, I know they're going down, but are we still talking $5 million to $10 million total this year? I forgot what you've said in the past.
Tracy Bridge: Good morning, Charles. We're projecting $10 million to $20 million of right-of-way in miscellaneous revenue this year.
Charles Fishman: $10 million to $20 million, which is still an elevated level over normalized, correct?
Tracy Bridge: Well, it depends on what you mean by normalized. Certainly, 10 years ago and beyond that, it would be much lower but we have had some pretty strong miscellaneous revenues in the last few years, as you recall.
Charles Fishman: Right. Okay. That’s all I had. Thank you.
Tracy Bridge: Thank you.
Operator: And your next question comes from the line of Lasan Johong with Auvila Research.
Lasan Johong: Thank you. So morning in the East Coast. The ZENS issue, is there - does it make sense to buy back given the low current interest rate environment?
Bill Rogers: Lasan, good morning. It's Bill.
Lasan Johong: Good morning.
Bill Rogers: This remains a very low cost source of capital for us. If we were to think about buying back the debt, we would have recognition from a tax perspective associated with the capital gain that we've otherwise deferred.
Lasan Johong: I see. I understand. Okay. Next question, I guess, is for - well, I guess, it's for anybody who wants to answer it. But the hot weather in that area tends to get super-hot. And I understand it's approaching a 100 degree weather. So maybe Tracy is the best person to answer this question. Are you guys having any issues with infrastructure overheating or melting down or having any kind of equipment problems, even with trucks or anything like that?
Tracy Bridge: Good morning. We're not. The system's holding up very well. Unlike some parts of the country, we're accustomed to this heat humidity, and so the system's holding up fine. Thank you for asking.
Lasan Johong: Excellent. I guess this question goes back to Bill, my last question. Is there any way you can engineer, like-kind exchange for Enable? I mean, it sends you to avoid the tax bill now.
Bill Rogers: Right. There are ways to continue to defer recognition of taxes if we sold for stock or units of another entity. But it would not be through a like kind exchange. It would be through a reorganization within the tax code.
Lasan Johong: Okay. So you couldn't take cash for Enable and then say by pipeline or by gas utilities somewhere and transfer your basis over that way?
Bill Rogers: We do not see a path in that direction.
Lasan Johong: I understand. Thank you for your help.
Operator: [Operator Instructions] And we do have a follow-up question from the line of Michael Lapides with Goldman Sachs.
Michael Lapides: Cash taxes, I know you talked about the effective tax rate. But how long do you expect not to be a cash taxpayer for?
Bill Rogers: Michael, it's Bill. We will be a cash taxpayer. It's just that it's at a very low rate. We expect to be a cash taxpayer this year as measured by cash, income taxes paid divided by accrual income before taxes, and that number will be in the high-single digits.
Michael Lapides: And then for how long - like how big do you - how big is your effective, whether it's in NOL or a like balance, whether generated via bonus DNA or something else. How long do you expect to be a very low cash taxpayer for?
Bill Rogers: It will gradually creep up to 35% over the planning horizon in terms of cash tax rate. That, of course, will be impacted by the level of capital investment and depreciation rates amongst all the other factors that go through our tax return.
Michael Lapides: So kind of getting closer to a normal GAAP and cash tax rate by the next 2 to 3 years? Or kind of longer term than that?
Bill Rogers: Longer than that, Michael. At the end of our 5 year planning horizon.
Michael Lapides: Got it. Thank you, Bill. Much appreciated.
David Mordy: Thank you, everyone, for your interest in CenterPoint Energy. We will now conclude our second quarter 2016 earnings call. Have a nice day.
Operator: And this concludes CenterPoint Energy's Second Quarter 2016 Earnings Conference Call. Thank you for your participation.